Operator: Good morning, and welcome to the SkyWest First Quarter 2010 Earnings Conference Call. All participants will be in listen-only mode. (Operator Instructions). After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. I would like to turn the conference over to Bradford Rich, Executive Vice President and CFO. Please go ahead, sir. 
Bradford Rich: Thank you, operator. Thank you to all of you for your interest this morning and for taking the time to join us. We got started just a couple of minutes late today as we noticed that we still had a lot of people trying to access the call just slightly after the hour. Before we get started today, I'd like to just introduce those who are with me today, and who will be participating on the call. I have with me Chip Childs, the President and Chief Operating Officer of SkyWest Airlines. Brad Holt is also participating with us. Brad is the President and Chief Operating Officer of Atlantic Southeast Airlines. Michael Kraupp, our Vice President and Treasurer is also with us in participating this morning, that before we go any further I'll turn sometime to Mike to read our forward-looking statement.
Michael Kraupp: Okay. In addition to historical information, our release and conference call may contain forward-looking statements. SkyWest may from time-to-time make written or oral forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements encompass SkyWest’s beliefs, expectations, hopes or intentions regarding future events. Words such as expects, intends, believes, anticipates, should, likely and similar expressions identify forward-looking statements. All forward-looking statements included in our release and conference call are made as of the date hereof and are based on the information available to SkyWest as of such date. SkyWest assumes no obligation to update any forward-looking statement. Actual results will vary and may vary materially from those anticipated, estimated, projected or expected for a number of reasons.
Bradford Rich: Okay. Thank you, Mike. Obviously, the purpose of our call today is to provide a brief review and discussion of our first quarter 2010 financial and operating results. As I said earlier, we do sincerely appreciate your interest in SkyWest. We appreciate the support and relationships that we have throughout the industry with our partners, our suppliers and of course most importantly we appreciate all the men and women of the SkyWest Inc. companies and for their commitment and dedication to the success of the organization. Now first of all, we'll begin by just reviewing the first quarter 2010 financial results. As you can see from the press release this morning, we reported operating revenues of $632.2 million for the quarter ended March 31st, 2010. That compares with $672.6 million in operating revenue for the same period last year. Our net income for the quarter was $15 million or $0.26 earnings per diluted shares. That compares with $9.4 million of net income and $0.16 in diluted earnings per share for the same period last year. We're obviously very pleased with the quarter-over-quarter. We do however; recognize that the comparable which is the first quarter of 2009 was one of the most difficult quarters in recent history, which includes very difficult weather. It included large marketable securities, write-off to non-engine budget overruns. Having said that, the first quarter of 2010 have not been without its challenges also, but in spite of them we've seen significant improvement in the current quarter and for that we're both. We're pleased and quite proud of. Our operating revenues, I think most of you understand by now that fuel prices and the accounting for fuel have created significant volatility in the total operating revenues of the Company. The more meaningful comparison is to look at non-fuel operating revenue, which increased during the quarter by 7.6% to $577.1 million. That increase seems consistent with the increase in block hours of $6.0% and the increase in available seat miles of 9.9%. Our non-fuel cost for ASM decreased during the quarter by 5.9% to $0.095. We're obviously pleased with this result directionally and it's similar to the 6.9% decrease in the December quarter. Again so directionally, we feel very good about the non-fuel cost per ASM. We recognize some of the decrease is due to the aircraft mix and flying more 700s than 900s, but we also continue to see productivity increases throughout the entire system. Our non-engine maintenance expenses have decreased, which is been somewhat of an issue in previous quarters. From the release, you can see there are stock-based compensation has decreased primarily from some changes in our compensation programs, and the mix of performance-based cash awards versus equity compensation to our all employee groups. Our common stock repurchases during the quarter have been somewhat minimal. Most of you have probably also seen this morning that we put out a press release indicating that our Board of Directors has authorized the repurchase up to another, an additional 5 million shares, which brings the total shares authorized for repurchase to a little over 7 million shares. We will continue to evaluate common stock repurchases. We've indicated previously that we take this issue very seriously as we look at opportunity. We always consider and evaluate the financial impacts of common stock repurchases against all the other uses of our cash resources. Our balance sheet at 3/31/2010 remains very strong and one of the best in the industry. We believe that balance sheet strength is critically important in this type of economic environment, and the strength of balance sheet positions us better than our competitors to pursue opportunity. The cash in securities were $729.7 million at the end of the quarter, compared with $732.4 million at the end of December. The small decrease is normal for the first quarter as we experienced the largest period of aircraft rent. We also invested in additional $10 million in TRIP Airlines based in Brazil, which is consistent with our agreement with them. The additional investment brings our total ownership in TRIP up to 20%. Our long-term debt increased during the quarter to $1.87 billion from $1.82 billion. The small increase was due to the acquisition of an additional four CRJ-700s which were debt financed. We've included the kind of the breakdown of our fleet in the press release. You can see from the numbers there that the fleet totals 456 aircraft at the end of the quarter. We believe that it's the sixth largest aircraft fleet in the world. One of the -- I won't go here line-by-line with the breakout as those numbers are all in the pres release. One issue that maybe of interest is that we have seen an increase in our pro-rate flying. We ended the quarter with a total of 23 CRJ-200s in pro-rate in addition to 39 EMB 120s flying pro-rate. That's a total of 62 aircraft in pro-rate operation. So, of the 456 aircraft, 62 of those were flying pro-rate operations during the quarter. The pro-rate operations did experience a loss of $6.1 million during the quarter. We need to keep in mind that seasonally this is the most difficult quarter for pro-rate operations. We have indicated that we see some opportunity here. We have some attractive ownership arrangement meaning both attractive rates and short-term lease terms no a good portion of this fleet, which puts us in a good position to enter some unique market opportunities that we think exist. We’re watching these markets very closely. And as I've indicated previously the terms and conditions on the fleet give us actually some unusual flexibility to make some fairly quick decisions with this flying if need be. Let's see we've consistently informed the Financial Analyst Community of the accounting treatment for the CRJ-200 engine expenses with those aircraft operating in the United System. This is a significant issue in the financial performance of the first quarter. During the quarter, we incurred $8.4 million in expense that we experienced above and beyond the revenue that we collected and recorded. That's a $12 million swing from the impact in the first quarter of 2009, and I would just remind you is due to the timing of the engine overhauls on that fleet. Having said that, we do expect similar numbers during the next year, and then we'll keep you informed of the expected impact as we move first quarter. An additional item we did not include this in the press release, certainly the impact of weather and ATC cancellations has got a lot of attention during the first quarter of 2010. The SkyWest Inc. companies were certainly not exempt from our share of challenges and difficulties related to weather and ATC. To put a little bit of perspective to this, our weather and ATC cancellations in the first quarter -- by the way I'll remind you too that in the first quarter of 2009, we experienced an unusually high amount of weather in ATC cancellations, but even with those difficulties in the first quarter of last year, our missed block hours related to weather in ATC was almost double what it was the first quarter of 2009. The financial impact of that during the quarter was approximately $2 million. I want to review just briefly the condensed income statement that we included in the press release this morning. I have already indicated that our total operating revenues are a bit misleading when considering the volatility introduced due to not only the prices, but the accounting for our fuel reimbursements. The significant portion of the decrease in our operating revenues is simply to take the accounting for fuel. Actually our production increases in revenue were about $10 million during the quarter. Our pro-rate revenue was up $35 million while the impact from fuel caused a decrease of $88.2 million in our operating revenues. As you look down to our operating expenses, the same explanation really holds true for aircraft fuel. Our contract fuel was down $81.4 million, again simply due to our major partners buying more of the fuel and not running through our financials. Our pro-rate fuel expenses were up $14.3 million during the quarter. Salaries, wages and benefits we think is a significant issue, a very slight change in total salaries, wages and benefits in spite of an increase of 6.0% in block hours and an increase of 9.9% in ASMs. Now we think that is significant and is a key indicator of increased productivity and efficiency throughout the system. Our aircraft maintenance materials and repairs I have touched on already. The most significant impact and the year-over-year change, of the total $14.6 million change there $12 million of the swaying is related to the United CRJ-200 engine overhauls. When you continue down through the condensed income statement, I just want to put some emphasis to the provision of income taxes. We had an unusually low effective rate in last years first quarter of 28.8%. The effective rate in the first quarter of this year was 38.8%. Now we would expect a more normalized effective tax rate moving forward of about 38%. To just give, by way of summary and just a very quick review of the financial performance, again we're pleased with the increase from $9.4 million to $15 million. The income is up $5.6 million inspire of the $12 million swing in United Engines, the $6.1 million loss in the pro-rate operations and the $2 million impact from weather and ATC. So I guess my point there is we're actually very pleased and proud of the financial performance in spite of those kind of unusual issues during the quarter. As far as balance sheet, a little bit more on the balance sheet, just by way of some stats. Our cash and marketable securities per share at the end of the quarter were $13.5. Our book value per share was $24.44 per share. I wanted to just mention as well, the operating performance at both SkyWest Airlines and Atlantic Southeast Airlines remains very strong. The operating performance at Atlantic Southeast Airlines was strong enough that we collected essentially every dollar possible in performance incentives during the quarter and that’s a significant improvement of where we have been previously. The operational performance just remains very consistent and strong and among the best in the industry at SkyWest Airlines and we congratulate both entities for their excellent work there. The dedication and commitment that it takes to pull off that kind of performance has not gone unnoticed. It's appreciated and has a significant impact on the first quarter performance. I think with those remarks, operator, we will conclude the prepared remarks and now open it for questions.
Operator: 
.: 
Helane Becker - Jesup & Lamont: Brad, did you talk at all about what ASA is doing in China with the co-chair agreement and if not, could you?
Bradford Rich: I will touch on it very briefly. As no public announcements have been made, my only statement I think at this point would be that we have made that consistent with the statements we've made previously. We have been looking and evaluating and considering additional international opportunities to continue to invest areas that are seeing rapid economic growth and development of air transportation. We see Vietnam as being an area of potential investment that would appear at least with our initial assessments to be one of some promising opportunity. So as we've said before, we're doing significant research, analysis and putting some work into it but beyond that no formal announcements are ready to be made.
Helane Becker - Jesup & Lamont: Okay. Because, just FYI, on April 30th in one of the Asian related trade magazines that I read, it did comment that you had received an operational services agreement with Air Mekong in Vietnam, which is why I asked that question. But that's fine. If it's not been signed by you guys yet, I have no problem with respecting that.
Bradford Rich: We are well aware of that and I'll stand by my previous statement.
Helane Becker - Jesup & Lamont: Okay. That's totally fine. And the only other question I had I think was just in one of the stats. The average TRIP length? Is that decline continuing? Is it meaningless? Should I not put too much weight in that?
Bradford Rich: I don’t think you should put much weight in it. It hasn’t changed materially. Directionally I’m not too worried about it. The more significant indicator here, with the way that our models works is the block hour production.
Operator: Our next question is from Rob McAdoo of Avondale Partners.
Rob McAdoo - Avondale Partners: A couple of things. You have in your P&L; I got two or three lines I just want to ask about. You have things, ground handling and other, -- not looking versus last year, but just looking at the last two or three quarters, it seemed to have jumped a pretty good size amount versus like fourth quarter and third quarter. I'm curious as to what's in there that would be jumping and how should we be thinking about that over the next two or three quarters? 
Bradford Rich: We have picked up a few stations along the way that we've RFPed which is increasing the ground handling. There should be similar increases in the ground handling in other but really nothing that significant to point out in that area.
Rob McAdoo - Avondale Partners: What I'm saying is the last two or three quarters the ground handling line has been $23 million a quarter, and now this quarter it jumped to $29 million? So it is up $6 million on a base of $23 million. And I'm just saying with the revenue line up, the top doesn't seem to be jumping that much. So I'm trying to understand what's going on.
Bradford Rich: Well as we're firing up more pro-rate markets we're doing some of our handling in those markets.
Rob McAdoo - Avondale Partners: So something like $29 million now becomes a more normal number for us to look at going forward?
Bradford Rich: Yes
Rob McAdoo - Avondale Partners: Basically it just reflects the change in the business. It's not like a one time deal. It's like this is the new world?
Bradford Rich: Yes.
Rob McAdoo - Avondale Partners: And same way on the other expense line?
Bradford Rich: Yes.
Rob McAdoo - Avondale Partners: And then maintenance versus the last couple of quarters, especially versus the second and third quarter of last year is down quite a bit. Was there just fewer events that happened to be scheduled in the quarter?
Bradford Rich: Now Bob, which line are you looking at again?
Rob McAdoo - Avondale Partners: Maintenance. The middle of last year was like $116 million to $119 million. Now it's down like what, $106 million?
Bradford Rich: Okay. So Bob, we've got two issues, two very significant issues going on in maintenance. First of all when you look at the condensed financial and look at aircraft maintenance materials and repairs, its up significantly.
Rob McAdoo - Avondale Partners: Versus last year?
Bradford Rich: Versus last year. Right. So that’s just due to the timing of engine overhauls, particularly on that CRJ-200 fleet.
Rob McAdoo - Avondale Partners: Which we've already talked about that. I'm just trying to
]:
Bradford Rich: Yeah. Then going the other way is in our non engine related maintenance expenses. In previous quarters we had seen fairly significant increases; both year-over-year and relative to our budgeted expenses and those expenses have come down significantly at both carriers. 
Rob McAdoo - Avondale Partners: That makes sense. And one final thing then at the risk of monopolizing the call. Could you tell us more about what TRIP is doing now? How big it is? We don't see a line of that shows any kind of, or I don't think I see a line here that shows anything about the equity contribution plus or minus what's going on there in 20% of the company. How big is it, what is it doing and how is it doing?
Bradford Rich: Okay, so well first of all, the line item on the financials where there this is the actual direct financial impact to us is in the other income expense. In the condensed financial there is a line called other. That 255 is basically the financial impact during the quarter of TRIP, primarily due to currency translation. As far as their financial performance, it is exactly what we thought it would be at this (inaudible) within very tight tolerance of the projections. The fleet is growing right according to plan. It's up to roughly 30 aircraft. They've added some larger aircraft to the fleet and they're planning to add a few more airplanes in each of the next few years. So all of that is on track. We've been able to assist them in getting the fleet financed and things are staying right on track and very consistent with what we thought that it was going to do. 
Rob McAdoo - Avondale Partners: And the 30 airplanes, what kind of airplanes are they?
Bradford Rich: Well, they have a large fleet of ATRs and they've just added large ERJ jets to the fleet.
Rob McAdoo - Avondale Partners: The E170 types or something.
Bradford Rich: E175s
Rob McAdoo - Avondale Partners: And they are flying for their own nickel? They're not contract flying? They're flying for their open own nickel, or whatever the appropriate phrase would be in Brazil?
Bradford Rich: That is substantially correct. They don’t have relationships like we do with majors but they do have some marketing agreements but generally it is what we refer to as just independent pro-rate flying.
Operator: (Operator Instructions). Our next question is from Glenn Engel of Merrill Lynch.
Glenn Engel - BofA Merrill Lynch:
’:
Bradford Rich: So I think the main point to take here is that directionally we expect throughout this year and into next year that our maintenance expense will be in excess of the amounts that we collect in revenue for that part of our contract. So, this time the excess was a little over $8 million and as far as the quarterly number it is going to be about that number for the next several quarters.
Glenn Engel - BofA Merrill Lynch:
’:
Bradford Rich: That is certainly what our plan is.
Glenn Engel - BofA Merrill Lynch: And final question on labor. The national mediation board I guess is considering changing the rules on union votes. Where are we on that, and what effect does it have on you?
Bradford Rich: I am going to turn the mike over to Chip Childs and let him address that one.
Chip Childs: 
’:
’:
Glenn Engel - BofA Merrill Lynch: Finally are there many growth opportunities currently?
Bradford Rich:
’: We think there is more opportunity than normally.
Glenn Engel - BofA Merrill Lynch: And the comment, does that imply your opportunity domestically is more of a share shift than a growth?
Bradford Rich: 
’:
Glenn Engel - BofA Merrill Lynch: Thank you very much. 
Operator: Thank you. Our next question is from Bob McAdoo of Avondale Partners.
Bob McAdoo - Avondale Partners: Yes, one other thing. The $6 million pro-rate loss. Is that virtually all of them or almost profitable because of seasonality, or are there particular areas, regions, markets, some relatively small number of markets that are the majority of the problem? That if you decided to you could surgically remove those and the rest of it would look just fine?
Bradford Rich: I will answer it very generally, I think that the losses are concentrated into a particularly area. A significant issue here is that we now have pricing and inventory control responsibilities for that segment of the flying, so combine that with the fact that we are moving into a seasonally better period and we are still optimistic about the potential.
Bob McAdoo - Avondale Partners: Okay. Thanks.
Operator: Our next question is from Michael Roarke of McAdams Wright Ragen.
Michael Roarke - McAdams Wright Ragen: Do you have -- on block hours do you have an outlook for where you think they will be over the next year or so?
Bradford Rich: 
’:
Michael Roarke - McAdams Wright Ragen: Okay. And then on block hours again did you start doing new business with United in the first quarter that was not present in the first quarter a year ago?
Bradford Rich: We did begin I will term it a new relationship, which is the Atlantic Southeast Airlines flying for United which started up during the quarter. It started in the first quarter by -- during the second quarter it should grow to 14 aircraft in that system.
Michael Roarke - McAdams Wright Ragen: So, in terms of the 6% increase in block hours, how much of that was attributable to that new piece of business as opposed to kind of organic increase in flying for existing relationships?
Bradford Rich: 
’:
Michael Roarke - McAdams Wright Ragen: Okay. So, I guess as far as current trends go, is the general direction right now to gradually add back capacity as far as your partners are concerned?
Bradford Rich: 
’:
’:
Michael Roarke - McAdams Wright Ragen: Okay. Great. Thank you and one last one as I was just playing with the number and thinking about it from an earnings perspective. On this maintenance issue is kind of a bottom line way of thinking about that, it will be a drag of $0.09 to $0.10 a share per quarter for the rest of the year and then also into 2011?
Bradford Rich: 
’:
Michael Roarke - McAdams Wright Ragen: Okay. Great.
Bradford Rich: 
’:
’:
’:
’:
Michael Roarke - McAdams Wright Ragen: Understood. Thank you.
Operator:
’:
John O’Malley - Wedge Capital Management: Just one follow-up on the maintenance expense question and with the United contract. Is it safe to assume that economically this activity is meant to be a break-even activity? As expressed in the contract?
Bradford Rich: Well yes and no, I mean certainly we expect as in all of the components of our cost structure that if we are meeting the terms of the agreements, there is certainly is an intended markup on top of the actual cost incurred. So, overtime there will be a --there should be an offset but yet in the embedded number, this cost base they are certainly indented to be markup on this base of cost. So, as a base cost yes it should work out to a breakeven. But the cost base does qualify for markup.
John O’Malley - Wedge Capital Management: Understood. So basically, if you are exceeding or doing better on the expense side of it, you have the ability to make some margin on it over time.
Bradford Rich: 
’:
’:
John O’Malley - Wedge Capital Management: Okay. Thank you very much.
Operator: This concludes our question and answer session for today. I would like to turn our call back over to the speakers if for any closing remarks they may have. 
Bradford Rich: 
’:
Operator: 